Operator: Hello and welcome to today's Solo Brands, Inc. First Quarter and Fiscal 2022 Financial Results Call. My name is Alex and I will be coordinating the call today. [Operator Instructions] I will now hand over to your host, Bruce Williams to begin. Over to you Bruce.
Bruce Williams: Thank you, operator. Good morning everyone and thank you for joining the call to discuss Solo Brands' first quarter 2022 results, which we released this morning and can be found on the Investor Relations section of our website at investors.solobrands.com. Today's call will be hosted by Chief Executive Officer, John Merris; and Chief Financial Officer, Sam Simmons. Before we get started, I want to remind everyone that statements made on this call and the earnings release contain forward-looking statements regarding our financial outlook, business plans and objectives and other future events and developments, including statements about the market potential of our products, anticipated financial performance, and our goals and strategies. These forward looking statements now involve substantial risks and uncertainties, some of which may be outside of our control, and that could cause actual results to differ materially from those expressed or implied by such statements. These risks and uncertainties include those describing the company's earnings release, and other filings with the SEC speak only as of today's date. In addition, our discussion today includes references to certain supplemental non-GAAP financial measures, including net income as adjusted, diluted earnings per share as adjusted, adjusted EBITDA and adjusted EBITDA margin, which should be considered in addition to and not as a substitute for our GAAP results. We use these non-GAAP measures in evaluating our ability to generate earnings, provide consistency and comparability with our past performance and facilitate period-to-period comparison of our core operating results. Reconciliation of these non-GAAP measures to the most comparable GAAP measures and definitions of the referenced non-GAAP measures are included in our earnings release and our filings with the SEC, which are available on the Investors portion of our website @investors.solobrands.com. Now, I would like to turn the call over to John.
John Merris: Thank you, Bruce, and thank you for joining us for our first quarter earnings call. I will begin today by reviewing our performance in the first quarter, after I will provide an update on our strategic initiatives and then turn the call over to Sam to discuss our financial performance and outlook for 2022. Despite a challenging macro environment, we were able to achieve a revenue increase of 19% to $82.2 million over the same period of the prior year including contributions from acquisitions. During the quarter we saw a channel shift weighted toward wholesale. Demand among our wholesale customers was strong with growth of 224.2% to $22 million due to increased store growth and strong sell-throughs across retail. Sales in our digital direct-to-consumer channel declined 3.4% due to difficult year ago comparisons. Despite this channel shift, we were able to achieve gross margins in line with our expectations. We continue to see a tremendous opportunity to leverage the power of our platform and as noted last quarter invest behind our growth. We believe these investments will begin to pay off in the back half of this year and over the long-term. We are pleased that our indicators of brand health remained strong with our net promoter scores in the high 70s, referral rates about 40% and repeat purchase rates about 50%. Additionally, of our growing customer base of 3 million, the total number of customers that have purchased from at least two brands, has risen from 25,000 to 43,677, an increase of 70% since the end of the year. We remain focused on what we believe is the greatest opportunity for solo brands, which is the organic one with our core products here in the U.S. There is tremendous room to significantly grow our total customers and increase our current estimated market penetration of less than 2% for Solo Stove. Chubbies, Oru and ISLE have similar opportunities. We also remain convicted in our five key strategic priorities, which we believe positioned us for long-term sustainable growth. First, our focus on product innovation across all our brands, second building and leveraging our data in order to drive conversion and marketing efficiencies, third international expansion to help facilitate good moments and lasting memories all over the world, fourth we remain committed to meeting our customers where they want to shop and we are adapting by strategically growing our retail channel, and finally we continue to actively pursue opportunities to expand our business through acquisitions. Innovation is a core pillar and we are tirelessly focused on product newness that will expand the reach of each of our brands as Solo Stove, our much anticipated heat deflectors, rolled out in the first quarter and we have sold over 26,000 units, which is well ahead of our internal expectations. We listen to our customers and meet their needs with products that enhance their experience and helps to strengthen our relationship with them. This leads to long-term value creation for customers and shareholders. We are enthusiastic about the strong early response and heat deflectors are becoming a meaningful add-on purchase that will be especially attractive as we move into the key winter selling season. Our high launch was also well received by our customer base and while it is still very early, we are encouraged by the momentum we are seeing for this product. We introduced Colorways late last year. Colorways is gaining momentum and we are leaning into this opportunity by expanding into retail where there is growing interest for Colorways. This is another great example of how our innovation is allowing us to broaden our assortment as well as our appeal to customers. While our corporate channel is a relatively small part of our business, it is growing at a very fast clip. We continue to innovate and expand our personalization abilities, which we believe will be a large market opportunity for us. We currently offer etching on stainless steel and are introducing personalization on Colorways which we expect will be well received. Personalization has been mostly limited to high quantity purchases, but we are exploring adding the ability to personalize individual purchases by the end of the year. In preparation for this we have expanded our collegiate [ph] offering over the past year and are now offering collegiate logos of 47 schools.
Chubbies: At Oru Kayak the response to our Oru Lake Kayak, our introductory price point Kayak has been very strong. We launched the product on Kickstarter, and it has raised over $2 million during the duration of the campaign, which was 2x the amount raised from our previous Kickstarter campaign in 2020. The enthusiasm for this new product demonstrates the growth of the Oru brand and the demand for unique product offerings that Oru was known to produce. At ISLE we plan on launching a category of differentiating products in the third quarter, more to come on that on our next call. Next, we see a meaningful opportunity to leverage our customer database of 3 million customers to cross market our brands. As mentioned earlier today, we have 42,677 customers who have purchased from at least two of our brands, and we are focused on increasing this number. While still early, we are encouraged by our data investments that are accelerating awareness across the platform and driving cross brand purchases. As we lean into this incredible opportunity, we believe that the investments we are making to mobilize our data should yield significant returns this year and for the years ahead. Turning to our channel expansion opportunities, we continue to see strong momentum with our wholesale partners and are leaning into this demand. We are expanding our presence with some of our existing retailers such as Ace Hardware, Dick's, and Tractor Supply. Our goal remains to move toward an 80/20 balance between direct-to-consumer and wholesale over time. Our international expansion is off to a strong start. We have launched localized sites in Canada and throughout Europe and we have been pleased with the response and improving marketing efficiencies. Customers in Canada and Europe are realizing how amazing it is to sit around a Solo Stove with friends and family, all while avoiding the typical game of musical chairs trying to avoid the smoke that comes with a traditional firepit. We will continue to invest strategically in our international expansion and we plan to enter the Australian market in the third quarter and are optimistic about the opportunity there. Oru, ISLE and Chubbies will soon follow Solo into these markets. Finally, we continue to evaluate strategic acquisitions and are enthusiastic about the opportunities we are seeing. Our focus here is unchanged and we look to find unique, disruptive, profitable brands that our founder led to complement our existing portfolio. Turning to supply chain, we have seen some factory closures in China recently, which has had some adverse impacts on our business, primarily in the delivery timeline of our Pi Pizza oven. Fortunately, our other products across all brands have been minimally impacted due to the strong inventory position of our existing products. With contracted freight rates secured we can now confirm that we are expecting freight rates to be higher than last year, which will put some pressure on gross margin this year. We have seen some reprieve though as spot rates have come down from 2021 highs. We are and will continue to opportunistically use these rates if they are lower than our contract rates. I would like to provide an update on the current trends in our business. The volatility we experienced in the first quarter has continued into the second. We believe it is a combination of lapping strong comparisons from a year ago related to stainless, as well as few consumers continuing to feel the pressures of higher inflation, which is impacting their spending. In times like these we believe offering innovation becomes increasingly important. We are focused on what we can control which is delighting our customers, delivering amazing products, and building a world class team. We are continuing to listen to our customers and invest in innovation to bring them more products that allow them to share lasting memories, and in turn continue to refer us to their friends and neighbors. Before turning the call over to Sam, I would like to thank him for all of his hard work. We announced today that Somer Webb will be taking over as our new CFO starting May 16. I will now turn the call over to Sam to discuss our first quarter results in more detail.
Samuel Simmons: Thanks, John and good morning, everyone. I'm looking forward to walking you through our 2022 first quarter results, and then follow that up with commentary on our outlook for 2022. For the first quarter, we delivered sales and margins in line with our range of expectations and guidance. Net sales increased 19%, $82.2 million compared to $69.1 million in the prior year period. Growth was driven by an increase in volume, specifically an increase in total orders which increased 34.6% and our average order value increased 13.3% driven by products mix, both of which were due to acquisition activity. One note on revenue is that we had significantly less deferred revenue in the first quarter of 2022 compared to a year ago. In the fourth quarter of 2020 we had higher levels of deferred revenue due to the supply chain disruptions which has impacted our ability to ship products for orders placed during the quarter. Our 2020 year end deferred revenue of $20.2 million we recognized that revenue once we were back in stock in the first quarter in 2021. In contrast, as of December 2021, our deferred revenue balance was 2.59 [ph], which was in line with our normal trends. By channel, direct-to- consumer sales decreased 3.4% to 60.2 million compared to $62.3 million in the same period in the prior year accounting for the impact of deferred revenue. Wholesale net sales increased 224.2% to $22 million compared to $6.8 million in the prior year. We are pleased with our multichannel positioning and our ability to meet customers where they are, meeting successfully satisfying demand in the wholesale channel. Moving to gross profit, and gross profit increased 5.1% $48.9 million. Our gross margin rate was 69.4% [ph] compared with 67.3% in the prior year. Adjusting for the impact of purchase accounting adjustments related to the fair value of inventory for transactions, adjusted gross profit increased 16.6% to $55 million. Adjusted gross margin was 56.9% compared to 68.2% in the prior year with the variance of prior year primarily driven by higher inbound freight and logistics expenses and also by the integration of our acquisitions. Selling, general and administrative expenses for the first quarter increased to $45.6 million or 55.5% of net sales, as compared to $18.7 million in the same period last year. The increase in SG&A was primarily due to higher expenses from our acquisitions, which accounted for $12.4 million of the increase. Additionally, SG&A increased by $6.7 million in employee costs as a result of equity based compensation and increased headcount, and an increase of $3.4 million in advertising and marketing spend. As a result of these factors, first quarter net loss was $3.2 million and net loss per share was $0.03. First quarter adjusted net income was $11.1 and our adjusted EPS was $0.19. Adjusted EBITDA was $14 million and adjusted EBITDA margin was 17%. As a reminder, Q1 is our smallest quarter each year. As a result strategic investments that we are making in the platform had an outsized impact on adjusted EBITDA margins in the quarter. Now turning to the balance sheet, at the end of the period, we had $15.9 in cash and cash equivalents. As of March 31, 2022, we had $52.5 million in outstanding borrowings under the revolving credit facility, and $98.8 million under the term loan agreement. The borrowing capacity on our revolving credit facility was $350 million as of March 31, 2022, leaving $297.5 million of availability. Inventory at the end of the first quarter was $126.5 million. As we moved into the second quarter, our historically second largest selling season of the year, we proactively decided to increase inventory levels across our brands to combat supply chain disruptions in China or congestion and expectations of rising freight cost. This decision ensures we can meet demand and deliver on our customer service expectations. I would now like to review our top-3 strategic investments for 2022. First, we have accelerated our innovation investments to enhance and improve our design and manufacturing capabilities. We have a strong pipeline of innovation planned for the back half of the year, and well out to 2023 and 2024. Second, we are making meaningful investments in data infrastructure in terms of both people and systems, as we look to consolidate and leverage our platform to expand the lifetime value of our existing customers, increase marketing efficiencies and respond to increasing data privacy changes. Third, and lastly, we have continued to invest in infrastructure to expand our international operations in Canada and Europe and our planned launch of Australia in the third quarter. Turning to our forecast, we are providing guidance based on the visibility that we have today and our historical seasonal trends. From a macroeconomic perspective, we have experienced a number of headwinds during 2022, including lasting stimulus checks and child tax credits from Q1 of last year, and rising fuel costs, inflation and other impacts on discretionary purchases in 2022. These factors have weighed on our first quarter results. While the environment remains volatile, given the strength we are seeing in international and wholesale, combined with the upcoming product innovation and Solo Stove’s peak season yet to come, we are reaffirming our full year guidance of $540 million to $570 million in revenue and an adjusted EBITDA range of $121 million to $132 million. In conclusion, I remain enthusiastic about our feature, our unique assortment of remarkable brands, our innovation pipeline and our highly disruptive DTC platform. We believe in our long-term algorithm of 20% net sales growth, mid 20s percent adjusted EBITDA margin, and 20% to 25% adjusted net income growth. Before turning the call back over to the operator, I would also like to thank John and the entire Solo Brands team for an incredible run so far. What we have accomplished together has been truly unique, including the acquisition of three amazing brands, and a successful initial public offering. I know the best is yet to come and wish the Solo Brands continued success in this tremendous story. I will now turn the call back over to the operator to take your questions.
Operator: Thank you. [Operator Instructions] Our first question for today comes from Chris Horvers from JP Morgan. Chris, your line is now open.
Chris Horvers: Thanks, and good morning, everybody and congratulations, Sam and Somer. My first question is, as you think about the volatility that you saw in the first quarter, and what you're seeing so far in the in the second quarter, and on top of that it sounds like you're reaffirming basically because the expectation that product innovation in international will ultimately flow through and so we're sort of dragging in some of the potential upside to the model that had existed. And it's allowing you to reaffirm, is that the right way to think about it? And then given the volatility and so far year to date how does the shape of the year from a revenue and EBITDA perspective change relative to what you thought coming in? Thank you.
John Merris: Good question, Chris and thanks for bringing all those questions to light here, so the first thing that I'll just point out, yes to your first question. We like what we're seeing in international, we also like what we have in the back half of the year in terms of new product rollout and innovation. I'd also just point out that didn’t really shine through in the script, but if you think about Q1 in terms of a normalized fashion, so kind of accounting for the third revenue that we had carried over from Q4 of 2020 to Q1 of 2021, the growth while it looked like it, you know, in our earnings is negative 3.5 percent-ish or something like that on a year-over-year basis for our direct-to-consumer business. Without the deferred revenue it was closer to 15% growth. So instead of a negative kind of turns to a positive, so it wasn't all bad. And that coupled with the International and the product, I'd say there is some momentum behind the platform. It's not just related to kind of taking some of this upside and rolling it forward. It's also just in the organic and inorganic opportunity and growth that we're seeing across the platform. So I think you're in the right direction and I just kind of would add that that momentum that is a little bit covered up because of the deferred revenue noise that we have in the financials.
Samuel Simmons: Yes, and maybe I'll piggyback John too.
John Merris: Oh, go ahead, Chris.
Samuel Simmons: No, go ahead.
Chris Horvers: No, no, no, I was -- you're probably going to answer what I was following up on, so go ahead.
Samuel Simmons: I was just going to speak to seasonality of revenue. Is that is that where you’re going Chris or?
Chris Horvers: Yes.
Samuel Simmons: So this year, oh yes, go ahead. Okay…
Chris Horvers: No, that’s what I’m saying like from a seasonal revenue perspective, what are you thinking about it?
Samuel Simmons: 100%. So we expect revenue to be in line with our historical trends adjusted for what we're seeing in this first half was some softness, then adding that additional weight in the back half like you've mentioned, like John's mentioned due to ramping of investments, including the National wholesale, corporate, the fourth quarter innovation timeline, the ability to leverage data in the back half, just from a high level standpoint, historically, we've been a little more than a third of our annual revenue in the first half year, and a little less than two thirds of revenue in the back half of the year. And so it's just going to be a slight shift in that weighting to more to the back half, again very in line with our historical trends for large back half and especially a large Q4, driven by the nature of our brands and products.
Chris Horvers: Got it. And then from -- as a follow up question, just as you think about the film, the wholesale channel, we've seen that in many of those stores that you've referenced in the call I mean to this, to what extent do you think about maybe the risk on the wholesale side that delayed spring, some of the spending shifts, some of the pressures on the consumer that that channel sort of backs up. So I guess, maybe the right question is, how are you thinking about the growth in the wholesale business in the balance of the year?
John Merris: Yes, if we think about the back half of the year, we really, it really leans towards what Sam was just talking about around seasonality. We have two peak seasons for the platform, Q2 and Q4 and generally, our wholesale business is kind of lagging up in front of that in terms of getting the shelves stocked up. So Q1, you'll see generally and outside wholesale, and then Q3 as they ramp up for the higher season to Q2 and Q4. We saw that for sure and you're seeing that reflected in our Q1 results as retailers were preparing for the Q2 ramp. So it stands to be told, right? I mean, we're going to see those results shining through right now, as we go through Q2, early signs are positive. We we've already seen reorders from some of those retailers we just mentioned, for Q2, and those are very positive signs as we think about rolling through to Q3 and getting orders for the Q4 season. I’d just also add that there's a lot of excitement that we're feeling from our retail partners around the product innovation. So you know, one of the benefits of this innovation is not only our ability to go directly to our consumers on our websites, but also to go to our retailers with fresh new offerings and we'll talk probably more about this as we get later into the call. But we're all hearing about this shift that consumers are making towards experiences over products, experiences and services are really experiencing something special now. And our platform is just full of brands that deliver experiences in our whole brand mantra is good moments, lasting memories and putting smiles on people's faces. And so we think that we've got a suite of products that are going to be attractive to retailers, who are trying to attract people in to give them experiences over things.
Chris Horvers: Got it. Thank you very much.
Samuel Simmons: Let me let me add one more comment there. Thanks, Chris. On the wholesale channel, so just historically, if you look at 2020, wholesale was 8% of our total revenue. Last year 2021 wholesale was about 12%. And so as you consider this year, I would just keep that track record in mind in terms of growth in wholesale. We've talked before about shooting for that 20% wholesale, 80% DTC mix and again good momentum this year on that path, so just a couple data points to think about as you update your models. Thank you.
Chris Horvers: Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Robbie Ohmes of Bank of America. Robbie, your line is now open.
Robbie Ohmes: Oh, thanks, gentlemen, good morning. Hey, I wanted to follow up on Chris’ questions and can you maybe talk a little bit more about the, I think in the press release you said leaning into wholesale? So was -- is the leaning into wholesale more Solo Stove or is it very broad across brands or maybe some color on how say Chubbies is doing it wholesale in the brands? And the other question is maybe for Sam, could you sort of talk about the, is there any change in the gross margin assumption for the balance of the year related to mix of wholesale versus DTC or anything like that too that we should think about in getting to EBITDA guidance.?
John Merris: Great, I’ll take the first part of that and then have Sam take the second part. So on the wholesale mix in terms of Solo Stove versus Chubbies versus even Oru and ISLE, it was consistent. So we saw really good demand and growth with wholesale across the platform with all of the brands, all the way down through Oru and ISLE, it wasn't just a Solo Stove thing. And I think that's just representative of what really the entire digital direct-to-consumer space was feeling in Q1 in terms of that lapping of traffic trends and conversion rates. So, it's been consistent, and we're really happy with the demand that we're seeing come through, and the desire that these wholesalers and retailers are having to take on the product and get it on their shelves for their consumers.
Samuel Simmons: And to your second question Robbie on gross margin, so just in general in terms of modeling gross margin. So John mentioned, freight costs higher than last year as we expected, I would say in line with our expectation between contracted and spot rates. And then to your point where there could be some movement is in the mix with wholesale, as of right now there's no change, other than just optimism, obviously, with a good Q1 and seeing flow through, like John mentioned, going very well and then repeat orders coming back in. So feeling very good about wholesale. Still very early to Chris's point. So I don't have anything baked in just yet, but definitely keeping an eye on that mix.
John Merris: I would just kind of maybe Robbie, just one thing on that, that I just pointed out, but just as a reminder, because of the timing of when retail/wholesale business comes through in our seasonality of our overall business, it's important that we get through Q2 before we really understand if there's any major significant shift from DTC to wholesale, because Q1 is going to be outsized just by nature of them stocking up shelves. And so once we get through Q2, we'll have better information to be able to come back to you and say, yes the mix shift is right in line with kind of what we would have expected in terms of the growing retail/wholesale business or it's outsized or it’s on par or whatever it is.
Robbie Ohmes: Got it, that’s helpful, thanks.
John Merris: Thanks Robbie.
Operator: Our next question comes from Sharon Zackfia from William Blair. Sharon, your line is now open.
Unidentified Analyst: Yes, hey guys, good morning. This is Alex on for Sharon. Thanks for taking our questions. So just kind of a follow up on the consumer trends you guys are seeing with macroeconomic headwinds and such. Can you maybe talk to any of the qualitative trends you're seeing within the business? And are you seeing any typical consumers that would maybe purchase a higher priced product starting to trade down to more of a middle or lower priced product? Essentially, are you seeing any price sensitivity on the higher priced items more than you maybe normally would?
John Merris: I mean, I think the softness in Q1 was representative of consumer sentiment overall, and just where the softening that happened as a result of customers or consumers being pinched at the pump and pinched in the grocery store, at restaurants, and so forth and just overall kind of just wait and see with inflation. But I would say on an overall basis where we feel like we're differentiated as house of brands, and as a platform is, back to this notion that rather than being discretionary purchases of products, that we really are a platform of products that lead to experiences. And so rather than being an expensive or a high priced product, it becomes kind of a low priced vacation, if you will. So if somebody is making a decision between spending $2000 or $3,000 going on a vacation or spending $400 to $500 on a Solo Stove firepit is an example of something that they can sit around every weekend and get those same joyful memories and smiles on their faces that they would, going on a vacation to a theme park or whatnot. We have just a great place for customers to go to invest in those experiences. So I think if anything we are feeling and sensing this shift towards experiences for sure. And I would say that the wideness of the consumer that's out there investing in experiences is broad and it’s allowing us to continue to have a relevancy in a time where discretionary spending does definitely feel like is seeing headwinds because of all these macroeconomic factors that are going on.
Unidentified Analyst: Okay, great. Yes, that’s helpful. And then just kind of a follow up on that with consumer trends, are you seeing sort of, as you referenced, the typical seasonality in terms of more of the summer facing brands, are consumers still wanting to get outside and use the outdoors as much as an activity kind of as much as they had in the prior two years with the pandemic?
John Merris: Yes, the seasonality ramp has been real. And remember, Q2, even for Solo Stove even that our Q4 is so outsized in terms of seasonality, is still a large quarter for the Solo Stove brand. But yes, we've seen momentum coming out of Q1 into Q2 in terms of that seasonal ramp, and in line with our historical or what we've seen historically.
Unidentified Analyst: Awesome, thanks, guys. I'll pass it on.
Operator: Thank you. Our next question comes from Kaumil Gajrawala from Credit Suisse. Kaumil your line is now open.
Kaumil Gajrawala: Hi, guys. Good morning. First question on supply, kind of a combination of it sounds like you feel very comfortable going into the second quarter, but maybe thinking a little further out for the full year, which is how comfortable do you feel, in terms of where you are on supply and ability to continue to replenish supplies as you continue rolling out?
John Merris: Yes, it feels it like we're in a in a really solid position. Sam talked about this just a few minutes ago, in terms of leaning into ramping up supply both because of ongoing, even this, the kind of the COVID resurgence in China, the port congestion and other supply chain challenges and then our expectation that that freight costs were going to go up. And that's paying off dividends for us, because we’re in such a strong position for the back half of the year. And obviously, Sam just talked about the seasonality and being roughly over a third in the front half of the year, and roughly under two thirds in the back half of the year in terms of overall mix for the year. And so it's, we're in a good spot, and our suppliers are, they are navigating well the challenges that they're facing over there. We have good relationships with our freight carriers. We're getting the space that we need. We're not seeing roll containers and albeit higher than last year, the freight rates that are coming through on a blended basis are in line with what we expected and what we budgeted for, which is which is in large part one of the reasons we're able to reiterate our guidance.
Kaumil Gajrawala: Okay, great. So that wasn't really a 2Q comment, it sounds like you feel okay for the year. On the EBITDA range, it’s quite a tight range for a business that's as seasonal as yours with two quarters left and given all the volatility and the things that you've talked about, where are the layers of cushion in case things do get worse than even where we are now? I know, they're not great from a cost perspective, but we don't really know which direction they're going. So maybe if you could just talk about where the flex might be in the P&L ?
John Merris: Yes, Sam, do you want to kick off there and then I can layer up?
Samuel Simmons: Yes. Yes, I think the -- it's always in our variable model and the fact that we have relatively low fixed costs, and as long as we drive our efficient marketing and again that's part of the investment, continued investment, we have strong referral rates, strong repeat purchase rates, that's what makes our business economical, in addition to lower customer acquisition costs. And so, as we continue to operate and drive that model and keep our fixed costs low we can sustain that that high quality EBITDA margin. I would say as well, that we are making investments, like we've talked about international, innovation, data and those we believe, and candidly are already seeing that they're paying off well, particularly on the international and innovation side as we are able to come up with what we think are going to be very impactful new products. And then on the data side Alex you haven't been able to leverage that typical strength yet, but just from the expansion going from one brand to two brands, there's significant dollars there that again is effectively free growth. And so it's really leveraging the model to maximize profitability is where we'll be able to do that.
Kaumil Gajrawala: Okay, great. Thank you, guys.
John Merris: You are welcome.
Samuel Simmons: Yes, thanks, Kaumil.
Operator: Thank you. [Operator Instructions] Our next question comes from Randy Konik from Jefferies. Randy, your line is now open.
Randy Konik: Yes, thanks a lot. I guess, John, for you, when you talk -- the commentary around wholesale seems to imply that the wholesale channel is very stable, the sell-through rates are pretty even relative to the direct side, or DTC side, which is more way more volatile. Can you expand upon what in your view is driving that massive amount of disconnecting volatility in direct versus wholesale? And then, following up on that, within the volatility comments, are you seeing the business or the brands equally volatile across Chubbies and Solo or is one of the brands more volatile in demand versus another?
John Merris: Yes, so I just quickly answer the last one, and then go back to the first one, because the last one is a little bit faster. It's pretty equal in terms of volatility on digital direct-to-consumer across the platform. So nothing outsized in terms of volatility for Solo versus Chubbies versus Oru and ISLE. In terms of the question around what is my sentiment or feeling around what's driving the disconnect between wholesale demand and direct-to-consumer demand, again this is my personal feelings on it and my personal take on it, just being close to it and looking at it every day. I think there's in part just this real element of people are just -- they spent the last two years being tensed off and worried about leaving their home and going shopping or walking the aisles and touching and feeling products in-person, outside of the grocery store, maybe there was just not a lot of in-store. And we are seeing a resurgence towards customers just wanting to get out and walk the aisles and I definitely think that that's having a major impact right now in terms of what we're seeing. Like I said, we expected outsized Q1 as retailers were going to be stocking the shelves for Q2 because of our seasonal mix. So in part this was expected and that's why it's really important for us to get through Q2 before we say, yes it's really like outsized if it is even the right term, because if Q2 does what it's done historically, and may not even feel outsized for what happened in Q1. I will just add that I think, personally during COVID, I think that there was a camp of people that felt like we were on this path towards 50%, 60%, 70% or something of overall shopping happening online, coming out of COVID that people wouldn't go back to stores to the degree that they have. And I think that we're seeing that customers still like the brick and mortar experience. And I think that's relevant and important. It doesn't mean that direct-to-consumer is going away. There was already massive growth happening in direct-to-consumer prior to the pandemic, but I don't think it was the acceleration that some people thought in terms of it just being this crazy takeover, and that brick and mortar was dying. And so that's something that we're seeing, and again is a good balance. I think it's healthy. We really like in a lot of ways, what we're seeing between the wholesale brick and mortar to the direct-to-consumer, digital direct-to-consumer balance. And that's why we still are continuing to say we think an 80/20 split between those two channels over time is still the right place for us to target as an overall platform.
Randy Konik: Helpful. And then the last question is going back to the questions around the EBITDA dollar guidance for the year. Can you give us some perspective on how that, what that embeds from a promotional posture perspective? Does it incorporate higher proportionality at all? And then what, same question on the EBITDA guide, what does it embed from a cost to acquire customers perspective? Just want to understand how you're thinking about that in terms of laying out that EBITDA dollar guide, thanks. Thanks, guys.
John Merris: Yes, thanks, Randy. As we think about marketing spend in particular, we talk about this a lot, we've touched on it on prior calls, but we have a promotional strategy across the platform and in large part our promotional strategy is really unchanged from what has been historical. We're constantly iterating, testing, and then making adjustments to campaigns. We're looking at contribution margin. So there's a lot of factors that go into contribution margin, but the two big drivers are, how promotional are you, which is ultimately how easy is it for you to attract traffic and convert that traffic to a sale, and marketing spend. And so in theory, there is correlation between if you're more promotional, then generally marketing spend becomes more efficient. If you're less promotional, then you spend more to acquire the customer. And finding that sweet spot to where you are generating the maximum output in terms of contribution margin, is really the name of the game and we have a world class team in-house that's out executing in that every day. So as we think about this year, our strategy will continue to be what it has been, which is to maximize contribution margin and profits. I think, hopefully, for all of you that are on the call, and for anyone out there, to be able in this environment, to still be talking about generating and delivering a 20%-ish EBITDA margin on the year in an environment like this is pretty remarkable. We're really, really proud of what our team is able to accomplish through this model through our direct-to consumer model and I think that that's what you could come to expect from us as we continue to execute throughout the years to maximize profits by watching contribution margin, and then moving our promotions up and down along with our marketing spend to find that sweet spot to deliver maximum profits.
Randy Konik: Great, thank you.
Operator: Thank you. Our final question for today comes from Peter Keith of Piper Sandler. Peter, your line is now open.
Matt Egger:
Egger:
John Merris: Yes, that's the best way to think about it. So we do have a MAP policy with all of our retailers. We do MAP holidays like many other brands do with retailers, sometimes in line with when we're running promotions, but more often than not in certain seasons, where the retailer has specific sales going on. So one of the ones that comes to mind for me that we've participated in historically with is with REI, who runs a once a year spring sale, that's really important for their brand and for their members that are going into the co-op. So we will definitely partner with our retailers and provide them the ability to for some reprieve from MAP during certain windows of time throughout the year, so that they can have a differentiated offering in the store.
Matt Egger: Yes, that makes sense. And then the last one from us, can you give us an update on the competitive backdrop for Solo, we’ve seen some big box retailers to kind of start selling knockoff similar stainless steel firepits, has the knockoff competition stepped up and has there been any patent violations?
John Merris: There have been some violations for sure and we've seen, step off is probably a fair word in terms of knockouts coming through and we're actively protecting our IP which we feel we should be and so there is some live cases right now that we're working on with some knockoffs that have come up that are specifically in contrast to our IP.
Matt Egger: Okay, thanks guys.
Operator: Thank you. We have no further questions. This concludes today’s conference call. Thank you for joining. You may now disconnect.